Operator: Good day and thank you for standing by. Welcome to the PDC Energy Fourth Quarter 2022 Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Aaron Vandeford, Director of Investor Relations. Please go ahead.
Aaron Vandeford: Thank you, and good morning, everyone. On today's call, we'll have President and CEO, Bart Brookman; Executive Vice President, Lance Lauck; Chief Financial Officer, Scott Meyers; and Senior Vice President of Operations, Dave Lillo. Yesterday afternoon, we issued our press release and posted a presentation that accompanies our remarks today. We also filed our Form 10-K. The press release and presentation are available on the Investor Relations page of our website at www.pdce.com. On today's call, we will reference both forward-looking statements and non-U.S. GAAP financial measures. The appropriate disclosures and reconciliations, including a discussion of factors that could cause the actual results to differ materially from forward-looking statements, can be found on Slide 2 in the appendix of that presentation. With that, I'll turn the call over to our CEO, Bart Brookman.
Bart Brookman: Thanks, Aaron, and good morning, everyone. Let me open by saying over PDC's entire 50-year history, 2022 stands as the most successful year by almost every measure, a record free cash flow level of $1.4 billion, $1 billion of which was returned to our shareholders in the form of share repurchases, our fixed dividends and a $0.65 per share special dividend this past December, production for the company, a record 85 million BOE. In May, we closed the highly accretive Great Western acquisition, solidifying our already exceptional core Wattenberg position in driving solid production and reserve growth. Reserves year-end 2022, a 440% reserve replacement for the company as we grew reserves to 1.1 billion barrels of oil equivalent and drill permits. I want to extend the most sincere thank you to our regulatory group, permit specialists, land team, operations and their compliance groups. In 2022, we cracked the code on obtaining permits in the state of Colorado. And through our approved OGDPs, CAP and Great Western acquisition, we now have permits and DUCs in hand for our development program through 2028. Emissions for the company, last year we materially beat our 2022 emission reduction goals with over a 30% reduction in greenhouse gas emissions and over 50% reduction in methane intensity, outstanding results. Based on this achievement, expect us to roll out even more aggressive emission goals in the near future. The recently approved CAP demonstrates the company's focus on long-term development, aligned with our ESG goals, these emission reduction goals and quality development plans. A reminder, within this CAP, we have 33,000 net acres, 450 wells, 22 surface locations and a permit life of 10 years. Technically, we are implementing significant best business practices, including deploying more 2 to 3 mile laterals, pursuing 100% electrification and state-of-the-art facility designs. Within the CAP, the company will reduce greenhouse gas emissions by 72% from our 2020 design, resulting in some of the lowest emission production in the world. And the most compelling aspect of the CAP is, while achieving these extremely low emission levels, the drilling projects will be some of the most resilient and economic projects in the country. And Lance will provide more color on this in a moment. Building on these 2022 successes, I'd now like to turn our attention to the company's plans for this year. We anticipate 2023 will be another success story, production of 95 million BOE or 260,000 BOE per day. Projects in both basins are well mapped and highly economic. Free cash flow is anticipated to be $825 million, that's at $75 oil and $3 natural gas, on a capital spend of approximately $1.4 billion. We will modestly reduce debt levels for the company and anticipate year-end leverage ratio of 0.5. Our commitment to returning 60% of the free cash flow, post fixed dividend, remains strong. And our recent announcement on increasing our fixed dividend to $0.40 per share and expanding our buyback authorization by $750 million, both demonstrate the company's commitment to shareholder returns. And last from my comments today, a sincere congratulations to our EHS and operating teams in both basins. Texas and Colorado operations are approximately five years, with no lost time injuries, a record for the company and a signature of PDC's commitment to safety, a job well done. Now I'll turn the call over to Lance Lauck for an update on the company's reserves and inventory.
Lance Lauck: Thanks, Bart. Slide 7 highlights our 2022 year-end proved reserves, which increased to approximately 1.1 billion barrels of oil equivalent. This increase now represents 35% compared to our year-end 2021 proved reserves and was driven by our Great Western acquisition and by our annual reserve additions and revisions. This is a very sizable reserve base and one that can deliver material and sustainable value creation in the future. Overall, we generated an exceptional proved reserve replacement of 440% in 2022. Equally important, we generated approximately 220% proved reserve replacement through the drill bit, which demonstrates the high quality of our Tier 1 asset base. At the SEC flat price deck of approximately $93 per barrel at $6 gas, our 2022 year end proved reserves generated a pre-tax PV-10 value of approximately $19 billion. I would also like to highlight that we have a very resilient reserve base, assuming a flat $50 oil case, PDC reserve volumes only declined by approximately 2% from the SEC price case. This, again, is another measure of the highly economic nature of our Tier 1 asset base. Moving now to Slide 8. I want to take a moment and provide some additional detail on our best-in-class Tier 1 Wattenberg inventory. With the integration of the SRC assets, and now Great Western assets, we have meaningfully consolidated our position in the core of the play. We have historically provided inventory details by geographic area. But in order to more clearly describe our Tier 1 economics, we're providing our drill well economics by their subsurface characteristics. This requires a breakout of our inventory by the respective reservoir phase windows. At year-end, we have identified more than 2,100 core economic locations, inclusive of 200 DUCs in the Wattenberg field. As shown on this slide, our locations encompass four distinct reservoir phase windows, including two black oil windows, a light oil window and a retrograde gas window. This slide highlights that four of our five geographic areas have more than one reservoir phase window. For example, the Prairie area to the North has a black oil window as well as a light oil window, while our Summit, Plains and Kersey areas have three distinct phase windows. Our Guanella CAP acreage is primarily located in the light oil and retrograde gas windows. On the next slide, I'll highlight some of the differences in EURs and economics in each of the phase windows across our core Wattenberg position. So continuing on to Slide 9, we provide a detailed breakout of our approximately 2,100 locations by phase window. Before touching on the economics, I want to point out how derisked our inventory is from a permitting perspective. Overall, our year-end inventory of more than 2,100 locations are over 50% permitted, including the CAP, which gives us tremendous line of sight into multiple future years of highly economic development. Our highest permitted phase window is in the black oil range acreage area that we acquired from Great Western. While it's 100% permitted, we want to note that our teams are working on various inventory-expanding opportunities that was not included in the original transaction. Our lease permitted acreage is in the black oil window in the North, but it's also located in very rural areas with less permitting risk due to minimal building units and structures to plan our surface locations around. We look forward to pursuing these permits in the future. The table on this slide highlights our per well reserves for a 2-mile laterals, which range from approximately 460,000 barrels with 48% oil in the Northern black oil window to 900,000 barrels equivalent with 20% oil in the retrograde gas window. While the EURs and oil mix percentages vary between each of these phase windows, the key takeaway is that all four phase windows deliver exceptional economics that range from 63% to 96% internal rates of return based on $75 oil and $3 gas. As we start development of our Guanella CAP assets in 2024, keep in mind that the CAP is located in the light oil and retrograde gas windows. These phase windows will have a higher liquid-rich gas component, but they also deliver some of our largest EURs and economics in the company’s inventory. These two windows generate an average rate of return on 2-mile lateral wells of nearly 100% and 85%, respectively, again, based on $75 oil and $3 gas. While the black oil North window represents a lower EUR of 460,000 barrels equivalent, it also has the highest oil cut at 48%, which still generates approximately 63% rate of returns at the same price deck. One final comment, all phase windows deliver strong oil volumes. Dave will cover more of this in his comments next, but I want to highlight that our oil volumes provide a strong base for economics, allowing for the gas and NGL contribution to enhance the returns. Before handing the call over to Dave, I want to summarize this section of our earnings call by sharing that PDC today is in the strongest position in its 50-year history. We have tremendous assets, a great team, a strong financial position and confidence in the regulatory environment. I will now pass the call over to Dave to cover some of the operational highlights for the quarter.
Dave Lillo: Thanks, Lance. Jumping in on Slide 11, I want to review some of the operational highlights for the quarter. Total production for the quarter came in at 22.7 million Boe or approximately 247,000 Boe per day. Oil production for the quarter was 7.4 million barrels or approximately 80,000 barrels per day. Our production for the quarter was strong, especially when accounting for approximately 450 MBoe of production that was impacted from the December weather event that hit many in the industry. Our team did an amazing job of proactively managing the extreme cold weather in Colorado and Texas, minimizing production impacts and most importantly, keeping our employees and contractors safe. On the expense side of the equation, we invested approximately $345 million during the quarter, slightly above our implied fourth quarter guidance. The slightly higher capital for the quarter was tied to increased non-OC [ph] activity; field-level efficiencies, both on the drilling and completion sides as our teams continue to set records; investments related to the CAP; and continued inflationary pressures. As we look into the 2023 plan in our budgeting, we are confident that we have captured each of those incremental investments appropriately. Scott will discuss the 2023 capital plans in more detail shortly. During the fourth quarter, our team maintained great focus on managing costs. And our LOE for the quarter was $3.04 per Boe and an all-in G&A expense totaled $1.60 per Boe. In the Wattenberg field, we invested approximately $200 million or $320 million to run three drilling rigs and two completion crews during the quarter. We spud 53 wells and turned in line 50 wells. For the quarter, production in the Wattenberg averaged 219,000 Boe per day, of approximately 32% was oil. LOE for the basin came in at $2.52 per Boe, highlighting the low cost nature of our operations. In the Delaware, we invested approximately $30 million to maintain our one full-time drilling rig activity level focused on batch drilling operations. And we ran an average of 1.5 workover rigs to manage our base operations in the field. Production in the Delaware Basin averaged 28,000 Boe per day, of which approximately 39% was oil. LOE in the basin came in at $7.03 per Boe and is reflective of the continued workover activity during the quarter. Moving to Slide 12. I want to take a little more time to dive into the Wattenberg field operations and build upon some of the details Lance provided earlier in the call. Our Wattenberg assets has industry-leading economics, and years of Tier 1 inventory development mapped out. Before highlighting the longer-term outlook in the base, I want to provide an update on our 36-well Gus and 28-well Cordon pads that are beginning to be turned on in line with our – in line in our new acquired range area. Completions activities on these two larger pads began in the fourth quarter, and we’re happy to report that the wells are coming online, meeting our pre-completion estimates. As we discussed on calls before, larger number of well pads, where acreage supports can reduce surface footprint and the impact to communities while driving efficiencies. Production from the 60-plus wells that are in process of coming online now will support our planned production growth into the second quarter. Turning focus to our longer-term view in the basin. Our operations are supported by the consistency that the development in only a core Tier 1 asset can provide. Though we have historically, and will continue to turn wells in line across multiple phase windows, our oil curve remains very durable, yielding more than 22 barrels per lateral foot consistently over a representative five-year development plan. It is important to note, on the upper left-hand graph of the slide, our incremental recovery per lateral foot in 2025 and 2026 are tied to bringing online larger EUR wells in our CAP acreage. This incremental production, on top of a consistent oil component, further supports our strong economics. Finally, I want to highlight the depths of our economic inventory. When considering the more-than-2,000 locations Lance highlighted, approximately 80% of these locations breakeven below $40 per barrel price without adjusting current well prices that would likely decrease in such a commodity environment. If there was one chart that shows the differentiation of our asset amongst peers, this is it. The deep inventory of projects that is incredibly resistant to changes in commodity prices support our long-term sustainable cash flow model. Finally, on Slide 13, I want to provide a brief update on the Delaware asset. During the quarter, we ran one to two workover rigs as part of our normal operation to support our base production. Additionally, we continued our batch drilling operations, utilizing one full-time drilling rig. The batch drilling process is where we drill the surface of each of the wells on the pad before moving on to the intermediate sections and finally drilling each of the lateral sections. We anticipate this process may result in reducing drilling days and ultimately costs. The completion activity in the field resumed as planned in January of this year, and 2023 program is preliminary focused on continuing to develop of the Wolfcamp A and B zones. We will also evaluate opportunities in the Wolfcamp C and third Bone Springs intervals, where offset operators have had success. Success in these zones would be inventory accretive for our asset base and extend the life of years of our operations. At the end of the year, we have identified approximately 30 core economic locations, inclusive of 12 DUCs, in our inventory. At current development pace, this represents more than three years of operations. We have also identified approximately 40 contingent additional location as targeting other known zones and locations with shorter laterals that will require improved pricing or additional evaluation before including them in our core inventory count. With that, I will turn the call over to Scott Meyers.
Scott Meyers: Thank you, Dave. Starting on Slide 15 and has already been – as has already been pointed out on the call, 2022 was an exceptional year operationally for PDC, and that has translated to approximately $1.4 billion in free cash flow, a record for the company. We received a pre-hedged realized price of approximately $50 per BOE, while operating expenses came in at approximately $8 per BOE. Our G&A came in as expected at approximately $1.60 per BOE, exclusive of the approximate $0.22 per BOE of cost associated with the Great Western acquisition. For the fourth quarter, we generated approximately $260 million of free cash flow. This is quite strong considering the decline in pricing in the fourth quarter and the planned increase in investment tied to adding the second DJ completion crew during the quarter. Moving to Slide 16, I’d like to highlight a few details on our shareholder returns program. In the fourth quarter alone, we returned approximately $350 million through our share buyback, $0.35 base dividend and $0.65 special dividend. Ultimately, for the year, we returned $1 billion by buying back approximately 12% of our outstanding shares and exceeding our 60% post base dividend target. Our returns framework that we laid out earlier in 2022 is underpinned by the robust inventory of economic long-lived locations. It has allowed us the flexibility to execute on the Great Western acquisition, increase our base dividend while meaningfully reducing debt. On Slide 17, I want to quickly highlight the continued strength of our balance sheet. During 2022, we reduced our debt by approximately $530 million from the peak level after closing the Great Western transaction. We exited the year with approximately $1.3 billion in long-term debt and a leverage ratio of 0.5 times. Our only near-term commitment is $200 million due in 2024, which can be easily paid by our forecasted free cash flow. On Slide 18, I want to continue the shareholder return topic and outline some of our 2023 return guidance. Using the midpoint of our anticipated 2023 capital investment guidance and the ability to generate more than $2 billion in adjusted cash flow from operations in a $75 per barrel and $3 gas world, we target being able to return more than $550 million to our shareholders in 2023. We remain committed to returning 60%-plus of our annual post-dividend free cash flow to shareholders via systematic share repurchases and a special dividend, if needed. We continue to use share repurchases as the primary tool in our shareholders’ return program and anticipate being able to buyback another 7% to 10% of our shares in 2023. We are establishing a track record of increasing our base dividend, as we announced last week another increase to our quarterly dividend from $0.35 to $0.40 per share. This marks the third increase and second consecutive annual increase since implementing the dividend in 2021. Through Tuesday, we have invested approximately $83 million to repurchase 1.3 million shares this year. Combined with the increased dividend of $0.40 per share announced last week, we’ve already committed $118 million of returns during the first quarter. Finally, on Slide 19, I want to provide more detailed guidance for 2023 in the first half of the year. We anticipate 2023’s capital investments of $1.35 billion to $1.5 billion, which generates between 255,000 to 265,000 BOE per day and 82,000 to 86,000 barrels per day of oil. In the Wattenberg field, the company expects to invest approximately 80% of the total capital in 2023. By running a three-rig program and one full-time plus a part time completion crew, we plan to spud and complete approximately 200 to 225 wells. The capital budget also includes non-ops; infrastructure for our recently approved CAP, land and ESG-related projects. In the Delaware, the company plans to invest approximately 20% of the total capital investments by running a one-rig program and a part-time completion group. We plan to spud and complete approximately 15 to 25 wells in 2023. In the first quarter, the company expects to invest between $400 million and $475 million, with total production being in the range of 240,000 to 255,000 BOE per day and 78,000 to 84,000 barrels per day of oil production. In the second quarter, the company plans to invest between $325 million and $400 million and total production to be in the range of 257,000 to 272,000 BOE per day and 84,000 to 90,000 barrels per day of oil production. This is a material step up in production as we begin to receive the full benefit of the activity level in the first quarter that includes more than 60 Wattenberg TILs in 12 Delaware TILs, of which almost all occur in the second half of the first quarter. To summarize our call before we move to Q&A, our strong execution in 2022 helped us expand the foundation for PDC’s continued and long-term success in building value for our shareholders. We exited the year with approximately 1.1 billion equivalent Tier 1 proved reserves, a rock-solid balance sheet and a durable inventory of projects capable of driving a sustainable free cash flow for the years to come. I will now turn over the call to the operator for Q&A.
Operator: Certainly. [Operator Instructions] And our first question will come from Gabe Daoud of Cowen. Your line is open.
Gabe Daoud: Thank you. Hey everybody. Thanks for all the prepared remarks and for taking my question. Maybe just starting on the 2023 guide, Bart, could you maybe just give us a little bit more color on the cash tax guidance? I think it’s a little bit below what we had – at least, have been anticipating for you, guys, for this year. Is there anything specific that you can point to? And maybe how should we think about cash taxes on a go-forward basis?
Scott Meyers: Yes. Thank you for the question. Yes, a couple of things lined up for us for 2023. One of them was that we had better-than-expected GW from our Great Western acquisition cost allocations, which increased our deductibility in 2023. We also did not have any limitations after doing finalizing our analysis on Great Western NOLs. And then we also did not fall into the new IRA rules that we have been put out, but that will impact us in 2024. And finally, with the lower commodity prices, the NOLs that we have outstanding existing are just going to be more fully utilized in 2023. So in a long way, we had a bunch of stars that lined up for us that are really materially lowering our 2023 tax bill. However, we will not be able to take those advantages, and we will likely be in the IRA category in 2024. So I can give a more firm update on 2024 cash taxes probably in about 90 days, as we’re still formalizing a few things as we’ve wrapped up 2023. But I would give you this guidance, the 15% to 18% of pretax free cash flow for 2024 is probably a good number, as I think we’ll fully exhausted what’s left in our cabinet to use in 2023. So hopefully, that helps. 2023 should be fairly minimal, but 2024 should be more material, probably what you were expecting for 2023.
Gabe Daoud: Awesome. Yes, Scott, that’s great color and super helpful. So maybe switching gears now maybe for Lance, just as we think about inventory. And I guess, particularly in the Permian, you guys noted maybe just three years left or so of core economic inventory, and maybe there’s some upside in that number through exploration. But just how should we think about the Permian moving forward? I think maybe at one point, there was discussions around potentially selling the asset. But how do we think about that in the portfolio? And then whether or not we should always assume PDC prefers a two-basin strategy? Thanks guys.
Lance Lauck: Yes. Thanks, Gabe. I appreciate that, and good question there. We really step back strategically and really think that having a presence in two basins is very important for future value creation for the company. And so when we look at our Delaware position, we’re very thankful for that position. And as you can see, we’re working on ways on our existing position to grow that inventory, not only the 60 core locations, but the additional 40 that we’re testing up with the Wolfcamp C and the third Bone Spring carb shale that we’re going to be testing this year. So Gabe, our teams continue to look for ways, what I would call a blocking and tackling where we can trade with other parties or putting a section together with another company and drill two milers versus one milers. So always continue to look for those opportunities that we think are important to continue to grow the inventory and make it sustaining. And let’s say this, as we test the 40 contingent locations, if those do work in a manner that fits with us and the price for gas comes together, then we’re probably adding another couple three years to our inventory with a one-rig pace. And also that it by itself is sustaining for us. So, we like how that fits and presents itself. And then, of course, on the inventory building side from sort of the acquisition standpoint, we have a very methodical discipline process that we’ll look at opportunities where it has to fit all of our criteria to bring on some additional locations through our processes that creates long-term value for shareholders. So, we continue to look at that, but we’re patient. We do have a longer runway, especially with the contingent locations coming in. And so we’ll continue to be thoughtful how we look at this and always follow our methodical acquisition approach.
Gabe Daoud: That’s brief color. Thanks a lot Lance, thank you guys.
Operator: [Operator Instructions] And our next question comes from Arun Jayaram of JPMorgan. Your line is open.
Arun Jayaram: Yes. Good morning. I wanted to see if you can provide a little bit more insights on your 2023 program at the Wattenberg Field. I think you, guys, have highlighted just over 200 TILs this year. Can you give us a sense of between the four areas that you highlighted on Slide 8, the general mix of activity between the black oil North-South line of retrograde condensate part of the field?
Scott Meyers: Yes. I mean, I could just jump in here. And actually, I’d jump to Slide 9. And the reason why I jumped to Slide 9, you can see that almost all of our wells that we’ll be turning on in 2023 are DUCs as they enter 2023. So when you look at it, you can see that we’re hitting all the areas. I’d say, probably 90% of our turn-in-lines are going to be from those DUCs. So, I think it’s pretty representative across the different areas that we have.
Arun Jayaram: That’s helpful. And just my follow-up. On Slide 12, you provided a lot of detail around your representative of your expected productivity over the next kind of five years. I was wondering if you could give us a sense of your oil productivity, you expect to be relatively flat per foot. But as we think about like your longer-term growth rate of the company, do you expect to be completing more footage over this kind of five-year window? And is a higher mix of, call it, wells in the Guanella, the CAP area, is that what’s driving the overall higher productivity as we get into 2025 and 2026?
Scott Meyers: Yes, I would say there could be some small increases in footage, but what we’re really trying to point out here as we’re going through this, is when you really look at the Guanella CAP, a lot of it’s going to be in that light oil and the retrograde gas. And especially when we’re in those retrograde gas, it’s really just adding a lot of natural gas and NGL liquids to the portfolio mix. The oil is staying relatively consistent. So from one standpoint, you could say, "Hey, look, they’re getting a – they are looking like a gassier company from a percent of mix of total, but oil is staying relatively consistent." So what you could see, once we get there in 2024 to 2025, oil being more flattish in gas, and NGL is growing a little bit higher percentage. But we want to make sure we’re clear. The oil is going to still be there, and it’s not oil is going down and gas and NGLs are going up. It is that oil is being maintaining its production oil gas and NGLs are probably growing a little bit per well, which still leads to great economics.
Arun Jayaram: Right. And is the read-through from this slide is that in 2024, that your oil production should stay relatively flat on a year-over-year basis, but maybe your BOEs is down a touch?
Bart Brookman: No, I don’t think that’s the goal, Arun. This is Bart. I think obviously, the 2024 plan still has a lot of polish. But I think overall production growth, modest oil growth are still the goals for us. And there’s a lot of levers we can pull to achieve that.
Scott Meyers: That’s correct.
Arun Jayaram: Great. Thanks a lot gentlemen.
Operator: [Operator Instructions] And our next question comes from Umang Choudhary of Goldman Sachs. Your line is open.
Umang Choudhary: Hi good morning and thank you for taking my questions. And also thank you for the update on the DJ Basin inventory and the multiyear development plans. I guess two follow-up questions on this point. One, you have – you indicated that you have permits for 53% of your current undeveloped inventory in the higher-return light oil window. You talked about applying for additional permits in this window. Any color you can provide on timing? And then I just wanted to quickly get your thoughts around the longer lateral development as well and how – and if – and the impact it has to your capital efficiency in the area.
Bart Brookman: So Dave, can you provide color on next year or two national permits and then the longer laterals?
Dave Lillo: Yes. So the lighter oil window that you’re describing is predominantly our CAP area. It’s the retrograde gas and the lighter oil in our CAP area. Currently, we have 200 DUCs, we have 380 permits in hand, we have 450 in this CAP area that we’re talking about now and then we have more OGDPs in process for the half of the permits for our inventory. As we continue to look at our drilling programs, the longer laterals will continue to increase, really focusing on two miles and three-mile laterals going forward. There’s just so many more advantages to larger pads, more wells per pad, sharing facilities and drawing those longer laterals from an economic standpoint.
Scott Meyers: And Dave, just one other point. I think to touch on his comment was when you look at that light oil, and there’s still 47% left to permit, we can’t really go permit all that today in OGDPs because we couldn’t drill it all by the time that this five-year window was up. So the rest of those areas at 47%, especially in the light oil window, that will be permitted over the next, I’m guessing, Dave, probably two years, three years max. Because then, they have a three-year shelf life, which will take us into our 2028, 2029 kind of activity. Is that fair?
Dave Lillo: That is fair. So when you think about OGDPs, just remember that they’re good for three years. So you don’t want to get too far over your SKUs and have them permitted and not be able to drill them within that three-year window. Now the CAP is a 10-year window, and we’re strategically planning that with infrastructure and all the other things associated with that CAP rate at this point.
Umang Choudhary: Great. That’s really helpful. And I guess on the – from a follow-up, just wanted to get your thoughts around your free cash flow allocation plans for this year. And how should we think about the balance between the payment of $370 million, which is currently drawn on the revolver, and then the upside to the 60% post-dividend free cash flow towards capital returns?
Scott Meyers: Yes. Again, our share repurchase is going to be the primary vehicle. I would say that, that’s our number one when we’re looking through this. We’re going to keep monitoring. We’re going to pace ourselves, so we’re buying back shares throughout the entire year. The special dividend is only if we need to top it off, but if we can do all 60%-plus through the share repurchases, that’s the goal. That’s what we’re going to try to achieve. The remaining 40%, yes, there is some more flexibility to do some more share repurchase, but also paying down a little bit of debt, I think, is important as well. So we’ll manage it throughout the year, but I’d expect debt to go down $100 million, $200 million throughout the year. Again, we’re ultimately over the next couple of years, trying to get that debt down to around that $800 million level, but the shareholder returns is still our first priority as we’re very comfortable where our debt balance and debt levels are right now.
Umang Choudhary: Got it. Very clear. Thank you.
Operator: [Operator Instructions] And our next question comes from Bertrand Donnes of Truist. Your line is open.
Bertrand Donnes: Good morning guys. I think you just kind of brushed on the buyback strategy that you’re still focused on that more than higher cash payout, but your year-to-date performance kind of puts you in the top 10% of the group, and you are still trading at a good discount to the group. So there’s kind of two sides of the coin there. Maybe I think the prior thought process was you buy back a lot of your shares and then the CAP gets approved and then there’s kind of a re-rating. And I think we’ve seen some of that happening. So, I’m just wondering at what point do you kind of weigh the victory flag on buybacks and switch to more cash payments? Or do you really need to see your multiple go higher from here?
Scott Meyers: Yes, we still think – we still look at the multiples and look at the markets, and we don’t see a discernible trend between which one – and through talking to our investors, everyone is very supportive on the share buyback. So right now, I think we’re going to stay on that track. I mean, we still think our shares are undervalued. We still think there’s room for growth. Yes, it was a big step for us with the CAP approval. But now I think people that haven’t been looking at the names are starting to look at our name again and digesting. So, I still think there’s room for us to move North. So for now, we’re going to stay with the share buyback approach and look to have an aggressive plan in 2023.
Bertrand Donnes: That’s great. It makes total sense. And then the follow up, it’s a bit in the weeds. On your CAP, there’s a pad called the Wyndham [ph]. And I’m trying to read permit lines here. So forgive me if I’ve got it wrong. But it looks like your spacing has about 23 wells in the Nio across the section, and that seems a little bit tighter than normal. So I just wanted to get an update on maybe the Wattenberg spacing goal or maybe there was something special there?
Lance Lauck: Yes. Hey, that’s a great question. Yes, sounds good. Good question. So as we look at the Wattenberg development as it continues to progress over time. We’re essentially sorting the 20 well to 24 well per section spacing per DSU. And we’ve got a lot of data in history that really shows that’s the right spacing to bring the value out of the DSU itself and deliver exceptionally strong economics. And that’s what you’re seeing in the economics table there as well. There will be a few areas we’re going to test something even tighter than that in a few areas just to see what the potential upside could look like. And keep in mind too, that some of those tighter spacings has us targeting some of the Niobrara A as well. And that was one of the things that SRC had done before PDC and SRC combined together. So that’s kind of the general spacing that we have there. And it’s the spacing that really works well. It’s a basis for all of our type curves and analysis that you’re seeing today.
Bart Brookman: Dave, you want to add a little color to this?
Dave Lillo: Yes, I think that Wyndham facility is it’s going to be drilled at the end of 2024. It came over from SRC, where they planned a lot of A’s and Codell. So I think it’s a subject of the gun barrel with the Niobraras, the Codell, and the A’s being representative in that package.
Bertrand Donnes: Okay. Well, that sounds good. I mean, if Lance [ph] started it off, I’m sure it’s good. And maybe just to follow up is, are there any tighter spacing tests that maybe we should expect? Is there any comparison that you’d be able to give towards the end of the year or is that maybe the primary one?
Bart Brookman: Bert, I think, as we go through the next year or two, you can expect what Lance was talking about the 20 to 24 for us to continue especially as we move towards the northern black oil area. You’re going to see us test that 24 more and more. Okay. So without having all the calendar and the drill schedule in front of me, just expect that to be more information that we will obviously communicate to the market.
Dave Lillo: Yes, and I think there might be some comparisons on those spacings. We’re going to just start really drilling the Summit area up with the Chalk [ph], the Whitney, the [indiscernible]. So there could be some good comparisons to look at. And as we always evaluate our spacing and look backs and our production, we’ll be able to convey that out to you.
Bertrand Donnes: That’s great. Thanks for the update guys.
Operator: One moment for our next question. Our next question will come from Oliver Huang of TPH & Company. Your line is open.
Oliver Huang: Good morning, everyone, and thanks for taking my questions. I really appreciate the details that you all provided on the economics of the various phase windows within your Wattenberg portfolio. And maybe sort of a follow up to Arun question from earlier. But just kind of given where spot gas prices are trading at. Is there any inclination or even ability to move around some of the more gas directed drilling towards oilier areas within your program this year?
Bart Brookman: Oliver, I’ll tackle that and Dave can add flavor. And I think the general answer is no. The way our planning process in the basin, the permit process, the electrification systems that we have and the acreage as we permit it, we want to go in and call it, I think we use the term mow the lawn. We want to start at one corner of the acreage and move to the other to optimize the parent child. There are no parent child impacts by doing it that way. Okay. So I think the team has done a phenomenal job in their planning. The thing to just remind you going to one of the slide that Dave presented, the oil content, lateral foot on those reserves is pretty consistent, and the gas is all incremental revenue. And so the economics, even in poor gas prices are incredibly strong. They probably still improve on the gassier wells. And so I can assure you that the value we’re delivering to the shareholders with the drilling programs is phenomenal. And – but I don’t think we have a lot of flexibility in the drilling program the way it’s laid out. Dave, did I?
Dave Lillo: Yes, that’s exactly right. When we plan this out, it kind of falls in place with our permits in hand. As Bart said, mowing the lawn where we continue, one rig will be in the range area drilling ahead. The other one will continue to drill in Kersey. The other one will be in our CAP type area in the Summit area. So any changes really to our drill schedule at this point. And there’s slight modifications we can do to push if we need to, but it’s really, it’s kind of set in stone. It’s a very methodical plan at this point.
Bart Brookman: Oliver, the other thing to remember, and for everyone on the call some of the emissions reductions that I talked about entail electrification, obviously gas pipelines, but water pipelines and oil pipelines and all that infrastructure is pre-planned. And that’s fairly significant planning also. So for us to say we’re going to drill one area and move and go drill another area creates a disruption in the planning process. So it’s just another component of the complexities in the Wattenberg in the planning.
Oliver Huang: Okay. That all makes sense. And just for a second question, I didn’t see any specific cadence color for the back half of the year yet. So I was just kind of wondering if we might be able to get some more incremental color there on anything out of the ordinary in terms of maybe any large batch of wells coming online late in the year that’s largely non-productive for 2023, that would potentially put you all on pretty strong footing when thinking about exiting the year and heading into 2024?
Bart Brookman: Yes, I mean, our – from what I’ve messaged before, we really haven’t changed anything. Just think of it this way. In the second quarter, as I’ve said on the call today, our capital to midpoints down about 75 million, and that’s because your Delaware completion crew and the second Wattenberg completion crew are going down. The third quarter we really only have one completion crew running that’s the Wattenberg completion crew, and that comes back in the fourth quarter. So if you look from a CapEx standpoint, third quarter should be a step down from the second quarter, and fourth quarter should be a step up from the third quarter. From a production standpoint, obviously, we’ve given you the first two quarters. Third quarter will remain strong as we’re still getting peak production from our Delaware properties that we’re turning on and the turn-in-line program from the Delaware, and then the fourth quarter probably steps down a bit from the third quarter as we don’t get much benefit from that second Wattenberg crew until 2024. So hopefully that’ll help you give a little bit of curve and shape to the numbers and delivers confidence in our annual goals.
Oliver Huang: Awesome. Thanks for the time, guys.
Operator: One moment for our next question. Our next question will come from Nicholas Pope of Seaport Research. Your line is open.
Nicholas Pope: Good morning, everyone.
Bart Brookman: Good Morning.
Dave Lillo: Good Morning.
Nicholas Pope: I was hoping maybe we could quantify a little bit something you commented on Bart, the – you were kind of mentioning progressing kind of more and more, two mile, three-mile laterals. Maybe talk a little bit about that progression, like where maybe 2022 was on average. What you’re expecting 2023 to look like in terms of the size of these wells that you’re targeting in the DJ?
Bart Brookman: Dave, do you have more color on that?
Dave Lillo: I would say just in general terms, we’re really targeting two-mile laterals in the Wattenberg. We’ve had some three-mile packages both on the Wayne which are producing very well. We have a spinny package coming up here later this year that we’re going to be drilling. And that’s another eight wells, three-mile laterals. We also have a plan to test the limits of what we can drill on another formation called or another package called the hand where we’re going to take two wells. And we’re going to really try to drill longer laterals in that area and we’ll see how that goes. There’s another…
Bart Brookman: And Dave, when you say longer laterals, are we going to try to exceed three? Is that…
Dave Lillo: So on the K2 package, we’re on a couple wells. We’re going to try to exceed three and truly target four-mile laterals. Now we’re going to watch our torque and drag. And if we can get to four miles, we’re going to test and run casing. If we can’t, anything past three will be very satisfied in that. So we will be testing the outer limits of what we can really be drilling. But really, our predominantly target are two-mile laterals right now, moving to two and a half, moving to three where we can. We did that on the CAP, where we had outlined out as a development plan for two-mile laterals. And at the last minute before, we went in for our application. We changed some of those packages to three miles based on the lane results that we were getting. So, we continue to look to drill further and further. And the economics get better and better because you don’t have your steel costs and the technology with rotary steerables right now is just doing phenomenally well for us. 
Bart Brookman: Nick, it’s – to put it in kind of high level, the drill team and the operating team have a day to add that incremental 5,000 feet of drilling. We obviously have the steel and the cement work in the completion. But incrementally, the reserves you add relative to the capital, it drives your drilling F&D down; it drives your IRR on the project up; it reduces the amount of surface you need to extract reserves, which is baked in Colorado today; and it also centralizes those reserves on one location for all of our facility design and emission controls that we go through.  So all of it points towards just making us better, cleaner, more efficient going forward. So these are the things we will continue to test. And they make sense for our investors, and they make sense for the environment, and it’s part of what we need to be doing to keep driving value. 
Nicholas Pope: Got it. It should be fun to watch four-mile lateral. So the – kind of as a follow-up here, Looking at kind of this mix of the subsurface that you all broke out. Just kind of curious where things stand right now with kind of gas processing, NGL capacity to kind of handle maybe a slight uptick in gas weighting here in the near term. And I just haven’t heard much worry about that lately. 
Lance Lauck: Yes. 
Bart Brookman: Yes, Lance will go with this. 
Lance Lauck: Yes. No, Nick. Yes, very good. I appreciate it. And good question. And I’ll – because we are moving into the CAP area, it’s a higher GOR, very valuable wells. So what we’ve done is, we spent a lot of time working kind of side-by-side with DCP Midstream discussing the growth from our overall basin and working with them. And they’ve done a wonderful job of both with compression in the field and with plans to continue to expand their infrastructure in order to utilize and capture, if you will, all of the growth that we have from our production.  And so the good news is that where we sit today, the line pressures are good, things are very solid in the field. And as we project out five years even and provide them some really long-term forecast, we are working very closely with them. And they have various infrastructure expansions in mind in order to meet the growth of our production from the field. So, I would classify that as working very well for the company, and we have good long-term plans there.  As far as takeaway out of the basin, there is more than ample takeaway for natural gas as well as NGLs out of the basin. That’s another part of the chain, if you will, that we stay close to them with. And so we’re thankful for how that works and all the way down to the Gulf Coast for frac space and all for our NGLs also. So from the field, all the way down to the market, we feel we’re in a pretty good spot to where that sits. More to go, but we’re staying right in lockstep with them and sharing our plans so that they can be prepared. 
Nicholas Pope: All right. That’s great. Well, thanks everyone for the time. I really appreciate it.
Operator: One moment for our next question. Our next question comes from John Abbott of Bank of America. Your line is open.
John Abbott: Hey, good morning, and thank you for taking our questions. Just a few quick ones from me. How are you sort of thinking about hedging now into 2024?
Scott Meyers: We really don’t change our philosophy. Again, we look to protect the company from the downside case. We’re really trying to protect the cash flows. And our percentage that we actually hedge moderates with the amount of debt that we have on the book. So, I would just say, generally speaking, we continue to layer in some hedges over time. But at the same time, with our debt balance coming down, we don’t feel like we have to be hedged nearly as much as we were prior year. So from a percentage standpoint, I would say, look for us to be a little bit less hedged than we were in the prior years, but we’ll continue opportunistically to layer some in and make sure we’re protecting the balance sheet in 2024 and 2025. 
John Abbott: Appreciate that. And then for our follow-up question, it’s not your plan as you do pursue growth, but where do you see long-term maintenance CapEx in the DJ?
Bart Brookman: Long-term maintenance CapEx is – it’s... 
Scott Meyers: $1 billion? $1.1 billion?
Bart Brookman: Yes. Yes. 
Scott Meyers: Somewhere around there? I mean we’re growing 3% to 5% now as a company. So, I mean, we’re not that far away, but my best estimate is, as you’re going through this, would be somewhere between that $1 billion to $1.1 billion was probably my guess. 
Bart Brookman: Yes. And I’m probably in the same range, just thinking through this. We also have some non-production related capital built into our $1.4 billion [ph], you got to peel that out. Then you have to say, what does it take to keep it flat basically for a few years. And yes, we’re probably in that $1.1 billion range, maybe a little higher. 
John Abbott: Appreciate, thank you for the color.
Operator: And our next question comes from Noel Parks of Tuohy Brothers and Investment Research. Your line is open. 
Noel Parks: Hi, good morning. 
Bart Brookman: Good morning. 
Noel Parks: I apologize if you touched on this already. But I just wondered, can you talk – well, in the current environment where we’re seeing oil and gas prices diverge again in sort of a bit of deja vu from past cycles, do you have any updated thoughts on the outlook for the NGL market specifically?
Bart Brookman: Lance, do you want to cover this?
Lance Lauck: Yes. I think where we sit right now in NGLs, with propane storage filling up, we’ve seen some pressure on propane prices. We’ve seen some pressure on NGL prices as well. I think a lot of the NGL prices are tied to weather, to agriculture. It’s also tied to kind of the overall growth of the country as well over time. So, I think look for them to kind of be in the range we’re sort of seeing right now, sort of for PDC sort of what we’re using for budget around the $20 realized price, which, by the way, includes a reduction for the fees that are paid to DCP Midstream, so around that $20 per barrel in general. But look for it to hopefully pick back up here with increases in gas demand, which may be a year or two out. So part of the oversupply a little bit on NGLs right now is the fact that natural gas in the country is pretty strong, over 100 Bcf per day. So there’s just more liquids that are being taken out of the gas, and that supply has increased because of the increase in gas volumes. So look for the continued focus on how NGL prices are being – are based upon the supply and demand of natural gas and then the overall growth of the country through that time. So it may be a little bit – another year or two before we see some strength in the NGL prices, but that’s something we’ll continue to monitor as we go forward here. 
Noel Parks: Okay. Great. Thanks a lot.
Operator: And I’m showing no further questions at this time. I would now like to turn the call back to Bart Brookman, and that’s President and CEO, for closing remarks. 
Bart Brookman: Yes. Thank you, Tanya, and thank you, everyone, for those who are still on the call for joining us today. And hopefully, we provided some good color on the quality of our plan and our inventory and our outlook not only for 2023 but future years. Appreciate you joining. 
Operator: Ladies and gentlemen, this concludes today’s conference. Thank you for your participation. You may now disconnect.